Operator: Greetings, and welcome to the Bridger Aerospace Third Quarter Fiscal 2025 Investor Conference Call. As a reminder, today's call is being recorded. It is now my pleasure to introduce your host, Eric Gerratt, Chief Financial Officer. Thank you. Mr. Gerratt, you may begin.
Eric Gerratt: Good afternoon, and thanks for joining us today. Joining me on the call this afternoon is Chief Executive Officer, Sam Davis. Before we begin, please note that certain statements contained in this conference call that do not describe historical facts are forward-looking statements as defined in the Private Securities Litigation Reform Act of 1995. Since forward-looking statements are based on various assumptions, risks and uncertainties, actual results may differ materially from those expressed or implied by such statements. Factors that could cause results to differ materially from those expressed include, but are not limited to, those discussed in the company's filings with the U.S. Securities and Exchange Commission, including expectations regarding financial results for 2025. Management cannot control or predict many factors that impact future results. Listeners should not place undue reliance on forward-looking statements, which reflect management's views only as of today. We anticipate that subsequent events and developments will cause our assessments to change. However, we undertake no obligation to revise or update any forward-looking statements or make any other forward-looking statements. Throughout this afternoon's earnings release and call today, we refer to the non-GAAP financial measure adjusted EBITDA. The definition, calculation and a reconciliation to the financial statements of adjusted EBITDA can be found in Exhibit A of our earnings release, which is available on our website. We believe adjusted EBITDA is useful in evaluating our reported results as a supplement to and not a substitute for reported results under GAAP. With that, I'd like to turn the call over to Sam.
Sam Davis: Thank you, Eric. This year has been an incredibly strong year for Bridger, both operationally and financially. Operationally, we saw record task orders that ran through October. Utilization measured in days on contract is up almost 10% year-over-year across the fleet. Our multi-mission aircraft have almost doubled their flight hours year-over-year and were extended beyond their guaranteed 150 days a piece to greater than 220 days a piece. Bridger Super Scoopers continue to gain recognition for their effectiveness as the ideal initial attack asset, and the Forest Service has been proactive in prepositioning our assets. Our scoopers have seen nearly a 9% increase in average flight hours year-to-date. The benefits of a proactive response to wildfire this year are clearly visible. Through October 10, according to the National Interagency Fire Center, or NIFC, wildfires have been above average in count with over 54,000 incidents this year up to date -- year-to-date, up 50% over last year and 15% above the 10-year average. Yet despite the increased number of fires, the NIFC reported only 4.7 million acres burned, which is down 40% over last year and down 29% from the 10-year average. This year's tremendous operational performance has lent itself to an incredible financial year as well. The more effective and tactical adoption of our assets has contributed to us surpassing our annual revenue guidance in the first 9 months of the year. Additionally, we remain on track to meet the high end of our adjusted EBITDA guidance. Bridger's 2025 financial performance saw the impact of our focus on developing long-term contracts with both the Forest Service and individual states. This concentration has led to another record-breaking quarter and another record-breaking year in spite of a statistically below average fire year. These third quarter results are a validation of the impact that these efforts are having on our business model. We see this as a strong indicator that as a nation, our assets are becoming increasingly important tools in the toolbox. And as a company, we are building resiliency in our revenue. As the threat of wildfire grows, Bridger remains ready to respond and focused on our mission to protect lives, property, critical infrastructure and the environment. These strong operational and financial results and our expectations for a second record year made it possible for us to complete a balance sheet transformation last week. We completed a $49 million sale leaseback of our campus facilities in Belgrade, Montana and entered into a new $331 million expanded debt facility with increased capacity for growth. Most importantly, we now have the financial flexibility to acquire the aircraft needed to support contract expansion opportunities and to serve all of our customers, whether federal, state, local or defense to further drive EBITDA growth and long-term shareholder value. Bridger's commitment to financial health and resilience is positioning us to better serve and protect this country. Let me now provide a quick update on FMS and Ignis. FMS contributed $2.4 million in revenue during the third quarter. In addition to partnering on the internal aircraft modifications to solidify our competitive edge, we continue to see a number of contracting opportunities, primarily with the DoD in active bids that Bridger and FMS are uniquely positioned to respond to. In addition to awarded work with our partner, Positive Aviation for the FF72 aircraft certification program, recent wins include a small award with the U.S. Air Force. While revenue in FMS business has seen delays due to federal budgeting uncertainties for the short term, we remain optimistic and FMS remains well positioned for a wide range of defense as well as commercial work. We're in the middle of repurposing our business development team to target this work. Much of the opportunities are fairly small and strategic with the potential to scale into larger volume of nonfire, nonseasonal complementary work to the services we already provide. We hope to add more year-round revenue growth to the business later this year and in 2026. A brief update on Ignis Technologies. Since launching its mobile platform to support firefighters in the field over a year ago, pilot programs utilizing the platform with counties, crews and incident management teams continue. We are now linking Bridger's real-time sensor imagery with the Ignis app, creating a seamless data flow from air to ground. During the third quarter, we live streamed video of the Dragon Bravo Fire in Arizona from our PC-12 to the Secretary of the Interiors office. This capability is unlocking new levels of situational awareness, supporting multi-mission aviation contracts and enhancing both operational effectiveness and safety. With the continued success of our sensor-enhanced aircraft in the field, the need for interactive live data streaming is stronger than ever, and we intend for this to be a critical part of our sensor-enhanced aviation contracts next year. Turning to the Spanish Scoopers, which are owned under a partnership agreement with MAB Funding LLC. The aircraft's return to service work by our Spanish subsidiary, Albacete Aero continues to progress. Having received the certificate of airworthiness, the first 2 aircraft have been flying this summer on contract with the government of Portugal. This has been supported by a lease arrangement between MAB as the owner and Avinci as the operator. With our recent financing completed, which provides funds for the aircraft acquisition, we now have the opportunity to potentially bring these 2 scoopers onto our balance sheet in the near future. The third and fourth scoopers continue to undergo the final stages of their respective return to service work and are scheduled to be ready in early 2026, at which time we will enter into discussions with MAB to potentially acquire these aircraft as well. Before I turn the call over to Eric, I want to reiterate the opportunity for Bridger given the recent federal initiatives to restructure our national Wildland firefighting system, which we view as the market shift for the entire industry. The establishment of the Wildland Fire Service Plan and passage of the Fire Ready Nation Act are focused on improving wildfire response and driving future growth. This comes on the heels of the executive order early in the year that called for the establishment of a national Wildland firefighting task force. We have already noticed faster response times, standards of cover and a more comprehensive mix of aviation assets being demanded. With Bridger's significant air attack fleet, including modern fire imaging and surveillance aircraft and the world's largest private super scooper fleet, we believe we are uniquely positioned as the nation refocuses efforts on preparedness and aggressive wildfire suppression to detect, prevent, contain and extinguish wildfires before they become the next catastrophic event. This commitment on top of the 2026 budget for the new U.S. Wildland Fire Service that calls for a threefold increase in funding to $3.7 billion will have a significant positive impact on the entire wildland fire community. We continue to actively look for opportunities with states to provide exclusive use of our firefighting assets, and we remain optimistic that our current budgeting and planning cycles will lead to future opportunities. It has been an incredible 2025 thus far, and I remain grateful I get to lead this exceptional team. Let me now turn it back to Eric, who will talk about our strong financial performance in the quarter.
Eric Gerratt: Thank you, Sam. Looking at our results for the third quarter of 2025, revenue increased to a record $67.9 million, up 5% from $64.5 million in the third quarter of 2024. The third quarter of 2025 benefited from continued high levels of activity as multiple scoopers and surveillance aircraft were deployed throughout the quarter. Excluding revenue from the return to service work performed on the 4 Spanish Scoopers as part of our partnership agreement with MAB Funding, LLC, which was $2.1 million in the first quarter of 2025 and $2.1 million in the third quarter of 2024, revenue from ongoing operations, including FMS, grew 5% to approximately $65.7 million compared to $62.4 million in the third quarter of 2024. Cost of revenues was $21.1 million in the third quarter of 2025, and was comprised of flight operations expenses of $12.1 million and maintenance expenses of $9 million. This compares to $23 million in the third quarter of 2024, which included $15.1 million of flight operations expenses and $7.9 million of maintenance expenses. Cost of revenues associated with the return to service work on the Spanish Super Scoopers was consistent for the third quarter of 2025 when compared to the third quarter of 2024. Selling, general and administrative expenses were $7.7 million in the third quarter of 2025 compared to $8.6 million in the third quarter of 2024. The decline reflects lower noncash stock-based compensation expense and a decrease in earn-out consideration, which was partially offset by an increase in the fair value of our warrants. Interest expense for the third quarter was $5.8 million compared to $6 million in the third quarter last year. For the third quarter of 2025, we reported net income of $34.5 million compared to net income of $27.3 million in the third quarter of 2024. Earnings per diluted share was $0.37 for the third quarter this year compared to $0.31 per diluted share in the third quarter last year. Adjusted EBITDA was $49.1 million in the third quarter of 2025 compared to $47 million in the third quarter last year. A reconciliation of adjusted EBITDA to net income is included in Exhibit A of our earnings release distributed earlier today. Now looking at our results for the first 9 months of 2025. Revenue was $114.3 million compared to $83 million in the first 9 months of 2024, a 38% increase. Excluding return to service work, revenue was $101.1 million compared to $78 million in the first 9 months of 2024, up 30%. Cost of revenues was $57 million, which comprised flight operation expenses of $26.2 million and maintenance expenses of $30.8 million. Cost of revenues for the first 9 months of 2024 was $42.1 million and comprised $25.2 million of flight operation expenses and maintenance expenses of $16.8 million. Cost of revenues for the first 9 months of 2025 included an increase of approximately $9.6 million of expenses associated with the return to service work for the Spanish Super Scoopers compared to the first 9 months of 2024. SG&A expenses were $22.8 million compared to $28.2 million in the first 9 months of 2024, with the decrease again driven by lower noncash stock-based compensation expense and a decrease in our earn-out consideration, which was partially offset by an increase in the fair value of our warrants. Interest expense for the first 9 months of 2025 was $17.3 million compared to $17.8 million in the first 9 months of 2024. Bridger also reported other income of $1.8 million in the first 9 months of 2025, which was consistent with the $1.8 million reported in the first 9 months of 2024. Net income was $19.3 million in the first 9 months of 2025 compared to a net loss of $2.7 million in the first 9 months of 2024. Adjusted EBITDA was $54.8 million in the first 9 months this year compared to $40.2 million in the same period last year. Now turning to the balance sheet. We ended Q3 with total cash and cash equivalents of $55.1 million. After the end of the quarter, we completed our previously announced sale-leaseback transaction with SR Aviation Infrastructure for our Bozeman Yellowstone International Airport campus facilities. The sales price was approximately $49 million. In addition, last week, we also executed a new senior secured credit facility for up to $331.5 million. Together, these transactions were used to refinance Bridger's $160 million municipal bond with Gallatin County, consolidate the majority of our existing debt and most importantly, provide significant capacity and financial flexibility through a delayed draw facility designed to fund future fleet expansion to support the organic growth we are pursuing. Turning to our guidance. With the strong fleet utilization year-to-date, including record task orders for our Super Scoopers, we remain on track to end 2025 at the higher end of our guidance range of $42 million to $48 million of adjusted EBITDA. Revenue has already exceeded the top end of our previous guidance range of $105 million to $111 million and is now expected to be between $118 million and $123 million. The company also expects continued improvement in cash provided by operating activities in 2025. Now with that, I'd like to turn the call back to Sam for final comments.
Sam Davis: Thank you, Eric. This year-to-date, we have flown in 21 states, provided support for 380 fires and dropped 7.3 million gallons of water. The increased focus on preparedness, early detection and suppression is making a difference from suppression on major fires to prevent the loss of structures to early detection, preventing small lightning strikes from becoming large incidents. Our team continues to execute. As we sit here today, 3 of Bridger scoopers and 4 air attack aircrafts are on standby for late call out, and we stand ready to finish the 2025 season strong and prepared for year-round work during these winter months. Three scoopers have entered winter maintenance to ensure we can provide flexibility within our fleet and be able to respond early in 2026, if necessary, and enable us to more fully utilize the excess capacity of our scoopers. And as Eric stated, with our record 9-month results, we have already exceeded our revenue guidance for the full year and remain confident we will hit the higher end of our annual adjusted EBITDA guidance after assuming the loss typically booked in the fourth quarter. With the monetization of our campus and the new $331 million debt facility, we have consolidated our debt and are now able to reinvest in the business. We have significant capacity and financial flexibility to fund future fleet expansion, drive our organic growth and build on our long-term vision to innovate and deploy the most advanced technology in our industry and deliver on our mission to protect lives, property, critical infrastructure and the environment. And with the support of our federal and government customers, legislation to prioritize early attack and suppression and additional budget dollars appropriated, we're incredibly well positioned to report another year of positive cash flows as we focus on generating solid returns for our stakeholders. I would be remiss to not express my appreciation and celebrate the success of the incredible Bridger team from our senior leadership to our pilots, from mechanics to drivers and all the folks behind the scenes, maximizing our safety and effective operations all around the country. Bridger's mission attracts and retains the best employees in the country, and they're all critical in delivering the results we've had quarter after quarter, and we're ready to answer the call to serve year-round. We're excited for and positioned to make 2026 yet another incredible year. And with that, I'd like to ask the operator to open the call for any questions.
Operator: [Operator Instructions] Our first question comes from Austin Moeller with Canaccord.
Austin Moeller: Nice quarter. So you have about $14 million free cash flow year-to-date. How much are you tracking towards by end of year? And what do you plan to use the cash for?
Sam Davis: Austin, good to hear from you. I will turn that to Eric as CFO, to answer that question.
Eric Gerratt: Yes, Austin, I think we'll end the year around that same amount or maybe a little north of that. As you know, fourth quarter, we go into the maintenance cycle. And typically, in the fourth quarter, we don't see as much revenue certainly as we saw in the third quarter or even the second quarter. So I expect it to remain at about that level. And what we'll be doing with that free cash flow is, again, we'll be looking at our fleet expansion opportunities in conjunction with the new credit facility and how best to deploy that capital.
Austin Moeller: Okay. And now that the credit facility is in place and the sale leaseback is complete, do you expect the Spanish scoopers to be staying in Europe or coming to the U.S.A.?
Sam Davis: That's a great question, Austin. We're exploring all avenues there. I can say that with that now being a reality, and us having those discussions right now to see how quickly we can move on that. We're going to go with kind of the best both strategic and economic benefit for us, and we'll run all those paths. It's hard for me to predict with a crystal ball what that's going to be. But I will say that the beauty of it is they're a very scarce asset and in high demand. So that gives us a lot of optionality to have those aircraft, especially with those two being airworthy and flying a partial season already, Bridger sees a lot of opportunity to put those to work. And we'll know a lot more through the winter months as we nail down the best opportunity. And the beauty of it is we have optionality of where we place them.
Operator: [Operator Instructions] At this time, there are no further questions in the queue. I will now be turning the meeting back to Sam Davis.
Sam Davis: Thank you. Thanks again for joining our conference call today. We look forward to updating you on our progress when we report our Q4 results in March. We're scheduled to participate in Sidoti's year-end Virtual Investor Conference on December 10 and 11, with our presentation scheduled for 4:00 p.m. Eastern Time on Wednesday, the 10. In addition to the presentation there will be 2 days of virtual one-on-ones. And hopefully, we can have -- connect with some of you then. Additionally, if anyone has any follow-up questions, as always, please feel free to reach out to our Investor Relations, and we can set up some further communication. Thank you, and we can close the call.
Operator: Thank you. This brings us to the end of today's meeting. We appreciate your time and participation. You may now disconnect.